Anna Krassowska: Welcome and thank you for joining us today to discuss Zealand’s Interim Results for the First Quarter of 2023.  With me are the following members of Zealand’s management team: Adam Steensberg, President and Chief Executive Officer; Henriette Wennicke, Chief Financial Officer; and David Kendall, Chief Medical Officer. You can find the related company announcement and interim report on our website at zealandpharma.com. As described on Slide 2, we will be making forward-looking statements that are subject to risks and uncertainties. With that, I will turn the call over to Adam Steensberg, President and CEO. Adam?
Adam Steensberg: Thank you Anna. And thanks to everyone for joining today. I’ll begin on slide 3. We are now one year into my tenure as CEO at Zealand and I’m very proud of what we have achieved. With a strong focus on R&D we have successfully progressed our product candidates with in both rare diseases and obesity. And despite the turbulent financial environment, we have significantly strengthened our balance sheet and streamlined operations. The strong momentum has continued into the first quarter of 2023. In our BDC portfolio, we achieved impressive clinical results in two key programs. We are very encouraged about the clinical outcome announced yesterday with Boehringer Ingelheim for the dual glucagon TLT 1 receptor agonist BI 456906 and excited about BI’s regulatory interactions on Phase III initiation. Our amylin analog, ZP8396 showed profound reductions in body weight after one week in the single ascending dose trial and is now progressing well in the Phase Ib multiple ascending dose trial. Importantly, we have also strengthened our balance sheet with the DKK1.5 billion from a direct issue in April, bringing on board a broad group of specialist investors. We now have a cash runway through mid-2026. Moving to slide 4 we remain focused on our strategic objectives and are poised for an exciting and catalyst rich 2023. We are on track for two regulatory submissions in our rare disease programs. The first submission is expected here in the second quarter for Dasiglucagon in babies and children with congenital hyperinsulinism or CHI. The second is for glepaglutide in people living with short bowel syndrome and intestinal failure expected in the second half of the year. We expect to see the strong momentum continuing with our BDT [Ph] assets, including upcoming clinical data presentations and initiation and reporting of new clinical studies across the portfolio. Our strategy to pursue partnerships remains on track, and we will seek to continue to participate in the programs across the value chain where we can leverage our strength and capabilities to maximize the value of each asset. Advancing to Slide 5, I will now turn over the call to our Chief Medical Officer, David Kendall, to discuss the recent top line results and our R&D pipeline. David?
David Kendall: Thank you, Adam. Today I will focus my remarks on the recent top line results from our obesity portfolio. But first, I would like to provide a brief update on our two rare disease programs where we continue to focus on plans for regulatory submission. Turning to slide six, we are on track to submit the NDA for Dasiglucagon and the management of CHI during this quarter. We believe that Dasiglucagon can be an important potential treatment approach to this rare and devastating disease, and this program represents a significant opportunity for Zealand to address a major unmet medical need for these children and their families. Please turn to Slide 7. Shown here is a schematic of our EASE Phase 3 clinical program for Glepaglutide, our long acting GLP-2 analog that is being developed for the treatment of short bowel syndrome and intestinal failure. We recently presented the results from the EASE 1 pivotal trial at the ESPEN and DDW Scientific Congresses, and these data were very well received. We recently completed the interim data cuts of EASE 2 and EASE 3 long-term extension trials as well as from the EASE 4 Study assessing long-term effects of Glepaglutide on intestinal fluid and energy uptake and results from all of these studies will be included in our planned regulatory submission. We are currently planning for pre NDA interactions with the FDA later in the summer and we remain on track for a potential regulatory submission for Glepaglutide in the second half of this year. Turning now to our obesity portfolio On Slide 8, we are pleased to have a rich and differentiated pipeline of novel assets for the potential treatment of overweight and obesity. As many of you are aware, obesity is a complex disease that is amenable to pharmacologic treatments that target a number of unique metabolic pathways. We are applying two specific approaches at Zealand. Dual pharmacology to target two receptors with one peptide and potent and differentiated single receptor agonists that can be used alone or in combination with other peptides as flexible use, loose combinations or co-formulations. The detail on Slide 8 outlines our differentiated peptide obesity portfolio. Each peptide in our pipeline has been designed to target an important and established neurohormonal pathways that are known to play important roles in the regulation of body weight, including hunger and food intake, energy expenditure, food composition and satiety, anyone of which plays an important role in achieving weight loss. Our therapeutic approach aims to, one; achieve increased weight loss and two; provide additional effects that address specific needs or comorbidities of obese and overweight individuals. Turning to clinical data on Slide 9, we summarize to summarize the very exciting top line Phase 2 clinical results with BI 456906 announced yesterday. BI 456906 is a glucagon GLP-1 receptor dual agonist co-invented with Boehringer Ingelheim being evaluated as a potential treatment for people with overweight and obesity. We are exceedingly pleased with the clinical outcomes reported, which demonstrate up to 14.9% weight loss from baseline at week 46, based on the analysis of the planned maintenance dose or assigned dose with a safety and tolerability profile consistent with other incretin-based therapies. Importantly, this primary endpoint was based on the dose assigned at randomization, which was modifiable during dose escalation and assessed efficacy based on that assigned dose regardless of whether the planned dose was achieved during the final week of 26 weeks of study. Along with our colleagues at Boehringer Ingelheim, we are excited to share the full Phase 2 results from this dose finding study, including an analysis evaluating efficacy based on the actual maintenance dose used during the final 26 weeks, which indicate even greater weight loss. These data will be presented in their entirety at the upcoming American Diabetes Association Scientific sessions to be held in late June in San Diego, California. On Slide 10, we provide a summary of our novel long acting amylin agonist. The iLet hormone amylin is well known to play an important metabolic role and is a validated target for the potential treatment of obesity. Amylin treatment results in weight loss by reducing food intake and increasing satiety and Amylin is also known to restore leptin sensitivity which may contribute to the maintenance of weight loss. In late March we announced positive top line results from our Phase 1a single ascending dose trial of our long acting amylin analog ZP8396 or 8396. Healthy participants with a mean BMI of 25.8 were treated with a single dose of either subcutaneous 8396 or placebo across seven dose cohorts. Those individuals, treated with 8396 had dose dependent reductions in mean body weight of up to 4.2% from baseline, while placebo treated individuals had a mean body weight increase of 0.6%. The plasma half-life of 8396 was 230 hours, which supports once weekly dose, administration and treatment was assessed to be well tolerated in this study and detailed results of this trial will also be presented at the upcoming American Diabetes Association Scientific Sessions. In the second half of 2023, we expect to provide an update on the six week portion of the multiple ascending dose trial with 8396, a study that is currently on-going. Our focus is also on the planned initiation of the 16-week portion of this Phase 1b trial in which we aim to evaluate higher doses than those used in the single ascending dose and the initial six week multiple ascending dose studies. And we will also include individuals with overweight and obesity in this trial. We believe amylin agonism can play an important role both as a stand-alone treatment for obesity, serving individuals who may not tolerate or adequately respond to current GLP-1 based therapies and amylin as a non incretin hormone can be used in combination with other incretin based treatments to provide additional weight loss. As we have previously shared, ZP8396 is specifically designed to allow for either co-formulation or co-administration with other peptide based therapies. In closing and turning to Slide 11, I also want to provide a brief update on Dapiglutide, our first-in-class dual GLP-1 GLP-2 receptor agonist, a novel peptide that leverages the effects of a potent GLP-1 agonist with the effects of GLP-2. We are excited to explore the potential of this asset to not only achieve substantial weight loss but also target low grade inflammation through improved intestinal barrier function. We recently initiated an investigator led clinical study to assess these mechanisms. We also expect to initiate a 13-week dose titration Phase 1b study in individuals with overweight and obesity in the second half of 2023. We are both encouraged and extremely excited by the recent data readouts and the strong momentum across our development pipeline in rare diseases and obesity, and we look forward to providing additional updates as we advance our programs through 2023. I would now like to turn the call over to our Chief Financial Officer, Henriette Wennicke, to review our first quarter financial results for 2023. Henrietta?
Henriette Wennicke: Thanks, David, and hello, everyone. Let’s move to Slide 12 and the income statement. Revenue for the first quarter of 2023 was DKK14 million, mainly driven by the license and development agreement with Novo Nordisk for Zegalogue. The operating expenses for the period were DKK182 million during valid [Ph] progression of the late stage royalty’s assets and duplicative programs. The R&D spend is slightly below Q1 last year due to timing of clinical activities, administrative expenses as well as sales and marketing expenses are, however, significantly below Q1 last year following the restructuring in March 2022. Net financial items for the period resulted in a loss of DKK27 million, driven by the loan agreement with Oberland and the partnership agreement with Beta Bionics. Let’s move to Slide 13 and the cash position. As of March 31st, 2023, cash, cash equivalents and marketable securities were approximately DKK1 billion. In April and May, we have taken significant actions to strengthen Zealand’s balance sheet. Firstly, in April, we successfully raised gross proceeds of DKK1.5 billion from a direct issue and private placement of new shares. Secondly, in May, we fully repaid the loan facilities with Oberland Capital, taking two cash effect of the final repayment will be a net outflow of US$77 million. And with this, the loan agreement Oberland is fully terminated. Thirdly, the repayment of the obligation with Oberland is refinanced through a new DKK350 million Revolving Credit Facility provided by Danske Bank and expected near term upcoming milestone from existing partners. With these actions, Zealand now holds a much stronger balance sheet and extending runway through mid-2026. This will allow us to continue to invest in progressing our rich family [Indiscernible]. Let’s move to slide 14 and our financial guidance. Our guidance is unchanged, and we continue to guide for mid-operating expenses of between DKK800 million to DKK900 million in 2023. We will as Adam said also engage in partnership discussion this year and [Indiscernible] strategy. However we do not provide guidance on revenue anticipated from existent and new partnerships agreements due to the uncertain stipulated [Ph] time and the size of such revenue. That’s it, we do expect to receive milestone payments from existing partners in the near term. And with that, I will turn the call back to Adam.
Adam Steensberg: Thank you Henriette. These first months of 2023 were exceptional for Zealand Pharma and in closing I would like to thank all our employees for their dedicated work towards achieving our strategic priorities. Likewise, we appreciate our partners for this strong collaboration and our current and new shareholders for their continued support and trust. Finally, I would like to express my sincere gratitude to those who are participating in our clinical studies. Thank you all. I will now turn it over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Charlie of Morgan Stanley. Your line is open.
Charlie Muir: Hi, Charlie Muir. Thanks for taking my questions. So firstly can you just provide any context around how the weight loss – were trending in the Phase 2 study of 46 weeks. Can you [Indiscernible] any more weight loss ago? And secondly could you provide an update on your discussions that Dasiglucagon partners in CHI as you approach filing? Thanks very much.
Adam Steensberg: Thank you Charlie. So first of all on the BI Collaboration for Blue GLP-1 we cannot share more data before ADA as we have communicated, we look very much forward to the conference and to discuss the data at that time. I would say if you look at other incretin-based therapies, then, of course, you can expect additional weight loss with time. That has been seen with any all other incretin-based therapies. But we cannot discuss the specific data in more details, except as David said before that we are highly encouraged with what we have seen so far. On the Dasiglucagon CHI partner discussions, we are where we want to be, as we have communicated, we, our clients has all the time been to get the NDA packets completed and ready for submission and then start engaging in confidential discussions with potential commercial partners. So those are progressing as planned right now, and we also expect to open data room in the near-term and after then engage in more specific discussions. So things are progressing well, and according to plan there. Thank you.
Charlie Muir: Thanks.
Operator: Your next question comes from the line of Michael Novod of Nordea. Your line is open.
Michael Novod: Thanks a lot. It’s Michael Novod from Nordea. Also a couple of questions. Maybe just to give us just a bit of feeling around how your investments are being done. How much are you actually putting into to PCG this year and what is sort of the plan going forward, because it’s obvious that probably to invest in order to also gain all data and also try to use at some point in time for some of the early assets. And then secondly, on Dapiglutide, the GLP-1 GLP-2, can you talk about sort of the ratio between GLP-1 and GLP-2? You gave us the ratio on the BI45 for GLP-1 versus glucagon maybe just be nice for us also to get the ratio around GLP-1 GLP-2. Thank you very much.
Adam Steensberg: Thank you, Michael. I will just shortly answer your second question first, and then I’ll hand over to Henriette. We have not released the specific ratio that we will provide at a coming scientific conference, and so we cannot come in details on it, but I can highlight that our approach for these dual acting peptides has been to make sure that they are biased towards activity on the GLP-1 receptor to make sure that we harvest the known benefits of GLP-1, and then just adding a little bit of additional pharmacology, just as we did with the BI compound. So you have to wait with further data and specific data for this compound answer at conference, but it’s the same concept we are dying as we did with the glucagon GLP-1, and then Henriette will you take the other?
Henriette Wennicke: Hey, Michael, thanks for your question. So clearly we are investing heavily on BTT, and then we are putting all the investments into it to progress our BTT assets. Clearly at this stage, as we are progressing to us in the age for our rare diseases, as we are – these are also driving a lot of the cost you see. We are burning currently, but clearly as we follow these, we will also in the future invest in significantly more into our BTT assets as they progress. But clearly, everything we can put behind and we do at the moment.
Michael Novod: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Jesper of Carnegie Investment Bank. Your line is open.
Jesper Ilsoe: Yes, thank you. Thanks so much. Firstly, on your GIP, can just provide some thoughts on this program given what we saw with Novos plus two data on [Indiscernible] with it and show any benefits on the HPNC and weight versus Cemarlo. So just updated thoughts, and whether or not to see this as impacting potential interest in this asset. Then secondly, on the BI data, I understand you cannot come into the detail, but perhaps it’s just conceptually why didn’t all patients in the treatment arm reach maintenance -- in the 46 weeks study. So just to understand why the potential reason for that, because I would assume that there’s plenty of time for it, and then I have to follow up. Thank you.
Adam Steensberg: Thank you. Thank you. Yes. I will just start and then I’ll hand over to David for further comments. On the GIP, I want to mention that we have to be, we have to bear in mind that all molecules are different. So and therefore, we are still excited about our GIP molecule when we evaluate our pre-clinical evidence. And we don’t have more insights into the Novo program than what was released a few days back, and that could be specific reasons why they decide to prioritize differently in their pipeline. But we have a confidence in our molecule based in the pre-clinical data, but as we have also said, the clinical evidence for the GIP as remains to be established. And then again, on the BI program, we cannot comment too much more, but I will leave it to David to both provide further comments on GIP and also if we can provide more new items into the BI study. But it is really up for BI to provide these data at ADA, so we have to be a little bit mindful of that. David?
David Kendall: Yes. Thank you, Adam. And yes, for thanks. GIP, obviously, we like you saw these decisions from Novo on one of their programs. Interestingly, as I think they’re continuing another program on the oral side with the combination of GLP-1 and GIP. As Adam said, we are quite pleased with our GIP agonist based on the non-clinical data, which we presented in some detail at last years, so basically, week meetings and given the complexities now of GIP, glepaglutide, presumably, carrying an agonist component in that molecule, the Amgen asset, antagonist to GIP, I think there is likely much to be learned about the pharmacology of GIP and clearly based on those data from Lily and Amgen and our own non-clinical data we believe that GIP still has a very important potential role as an adjunct to other incretin and non-incretin based therapies. But obviously, we’re looking very closely at what data will be made available from the Novo program to make decisions on our own. On the BI asset, as Adam said, we are both mindful of and respectful of the embargo that’s the American diabetes association is placed. So granular detail on that program and the protocol can’t be provided. But suffice it to say that Phase 2b is most importantly, dose ranking, dose finding activity to ensure that we have an understanding of both the dosing and the titration scheme and in this program like many others, there was an opportunity for the investigators to modify the titration during the active titration scheme. The details of this will be outlined in the full numbers of subjects in what is essentially an intention to treat versus the protocol populations who are excited to share how the upcoming scientific sessions. So without pre-empting that presentation, that’s the detail. Maybe an example is if someone had potentially tolerability issues that would give the investigators discretion in this and other days to dose ranking studies to alter that titration scheme so that we have a better understanding to inform the full Phase 3 program once those decisions are made.
Jesper Ilsoe: Okay, perfect. Just one additional question on glepaglutide from me. So, just perhaps you include some additional comments on the note in your report about additional patients screening of parental support, as well as whether on these long-term extensive studies, what you’ve seen so far, that’s more confident on the potential with glepaglutide.
David Kendall: Yes, I’m happy to start Jesper and Adam, if you have additional comments, I’ll turn it back to you. But certainly we’re excited by having at least our initial look at the data readouts from the long-term extension. Both trials are on-going. We’ve made the interim data cuts in both extension trials and I’ll just summarize by saying we’re both very pleased and the results are consistent and a continued clinical effect is certainly being observed. Again, without pre-empting all of the full data sets, the issues of internal autonomy and continued reductions in PS, those results are certainly very encouraging and we think continue to strength to the results of these one. And additional safety exposure, obviously, which is important for the ultimate regulatory submission. Adam, any additional comments from you?
Adam Steensberg: No, thanks, David.
Operator: Your next question comes from the line of Peter Wolford [Ph] of Jeffries. Your line is open.
Unidentified Analyst: Hi, thanks. I’ve got four very quick ones. Firstly, and sorry if I’m being stupid about this, but just coming back to the 906 maintenance first, that’s actual. And I’m asking for the data, which is so I can understand. We say then that the planned maintenance dose is basically a protocol of analysis, so those people that didn’t make it to their dose, they were assigned a not included, whereas the actual maintenance dose is 90T. So patients are included regardless of what dose they got to in that arm to actually, some patients in the ITT analysis would be on a lower dose than was originally planned, but actually you’re getting more weight loss when you do the ITT analysis, including those patients. Is that right? Secondly, then, sorry, sorry, I’ll just be all gone.
Adam Steensberg: Thank you, Peter. I’ll just follow up on David’s note, and then we really have to be mindful of how the data is embargoed, but I think what is important to understand is the key element is that when you design these Phase 2 studies, of course you can just, you can design them, just to try to achieve the most weight loss that you want, or you can design them into a best informed decision making for how to design Phase 3. And then, of course, given way to evaluate these data sets. And the data that we have released here for the, for the, that came out yesterday are on the, from the patients for based on the groups that they were randomized into. And in order to, you can say, following the dosing type tracing theory at the first 20, 20 weeks, investigators were allowed not to fully get up to the highest dose. And you can say, the data that will come later at ADA is an analysis of those patients who actually was good up to the highest dose and then maintained on that for the remainder 26 weeks of the study. So, and then, of course, when you do Phase 3 studies, you will design it a little bit different these kind of things. I mean, you will not keep the fixed dose after 20 weeks and so on. So, we are extremely encouraged by the data and we will very much forward to share them, but I really think we need the full data set to understand the details more.
Unidentified Analyst: Yes, sorry, sorry, sorry. Sorry, I got the amendment says it around for, so yes, so what we are saying is, is when you say the actual maintenance does, what we are saying is the, protocol, in other words, the people are actually indeed...
Adam Steensberg: Is that patient who reached the highest. These are patients who were dosed -- that they were randomized to.
Unidentified Analyst: Yes, yes, got it. Okay, fine. And okay. And then, just, secondly then, just on the NASH study. Am I right in saying we’re still anticipating NASH data later to stay at 906?
David Kendall: I’m happy to…yes go ahead Adam.
Adam Steensberg: Please take that David on the NASH Phase 2 study.
David Kendall: Yes, so the NASH Phase 2 study Peter is fully enrolled, and the data continued to be accumulated. So, we await the future data readouts. I’m one, the last, the last patient last visit and obviously the database is locked. So the diabetes, or the, I’m sorry, the obesity study that we present at ADA is that that was specifically designed to assess weight management and overweight and obese individuals. So, the NASH study is forthcoming and on-going, fully randomized, and we look forward to those results upcoming.\
Unidentified Analyst: That’s great. And then…sorry.
Adam Steensberg: No BI regarding that [Indiscernible] complete the study this year, and then we don’t know when it will be reported, but dived in early next year.
Unidentified Analyst: Got it. Okay, and then just so I understand the, on the financials, there’s two very quick ones, firstly, the, the income booked from Novo in the revenue line, the DKK30 million. Is that all the straight royalty income or is some of that 13 money, Novo is paying for drug or something else for the residual, just trying to understand how we should think about that going forward? And then just on the revolver, curious, have you actually pulled down the 350 million revolver in May, to pay the Oberland or is that just a facility that’s available to you? I guess, given your cash balance, it doesn’t seem immediately obvious, necessarily why you did pull on the revolver now, given, DKK2.5 billion available to the race. Thank you.
Henriette Wennicke: Yes, thank you, Peter. Henriette here. Let me come at that. So, the Novo is a split of royalties and our activities we’re conducting together with Novo. So, that will be a split because they’re hitting the top line there. And regards to the rolling credit facility there you’re right. We are not rolling it down at the moment but it’s available to us which I think is an important point and I think it is the system and that you can actually establish a revolving credit facility at this point in time and are caused at the terms a significantly different from what we had on the previous facility we had in place.
Unidentified Analyst: That’s great. And sorry can you give us any sort of idea of because obviously Novo is probably never going to report a regular task. So can you give us some sort of idea of what proportion is royalty. I guess I’m just curious when we think about 2Q, 3Q, 4Q. I mean how should we think about at all what you booked at 1Q has in anyway recurring if you like well what but is there any proportion or something you can give a royalty to help us. Thank you.
Henriette Wennicke: Yes, of course we cannot comment on the specific details here, but I think of course it is a mix on and you’re right. At the moment the level is right is, but what it is a mix, so we cannot comment on the details of the contracts of how much it’s a -- you could say then royalties on how much it’s at all the activities you’re conducting. But we have a question to what’s defiling in Europe and that’s of course also included in the numbers the activity that’s conducted on the debt agreement.
Adam Steensberg: And Peter maybe just for me to follow up, I think compared to all of our other activities in the pipeline both in rare disease and obesity these near term we do not see this has been very material numbers for Zealand Pharma but it’s an important agreement and it’s an important and important product for the patients we believe but it’s not a very important material that and we will not expect that to change significant in the near term.
Unidentified Analyst: That’s great, thank you.
Operator: Your next question comes from the line of Rajat Sharma of Goldman Sachs. Your line is open.
Rajat Sharma: Okay perfect. Thanks for taking my question. So first one on amylin. Just could you help us think about what your expectations are for the MAD data in the second half of the year are you looking for weight reductions in line with what we saw in the single ascending dose. And then just on that asset and you can you talk about amylin and potential combinations when might you think about combination trials for your amylin agonist. And then just one on the GLP-1 receptor agonist, how, what are you thinking about kind of acceptable levels of GI related AEs. I think there was some comments in the media by your partner the AI yesterday that talks about the AE profile being in line with what we’re seeing with other kind of commercial and late stage or BC [Ph] therapies, so could you just help us think about that? Thanks.
Adam Steensberg: So I will, thank you for the questions. On the amylin I think we should not speculate too much because data is always data and the study is on-going. But it’s fair and David you can comment more on this in the minute but it’s fair to say as David also mentioned it’s a two past started the month ago sending those first six weeks study and then moving on 16 weeks. So I will say the focus for us that the six weeks study is to serve as a bridge towards getting the 16 weeks study started where we also have higher doses. So but of course you can say we wouldn’t see the weight loss also in the six weeks study since we observed after only one dose and after one week 4.2% weight loss in the single ascending doses study. So but David you can comment more on that on the PI collaboration on side effects. I think we will stick with the note that the PI could out and I think we have been very much to it, -- to once alone for its sort of ability issues which can also be managed by titration to a large extent and I think with how BI positioned this this is also our view and then specific data started to that. But it’s again ADA. David any comments of further integrations?
David Kendall: Yes I think just add some flavor to the amylin question Rajat. I think qualitatively given what we saw in ascending dose we would certainly anticipate even in the MAD part one as we describe it the six weeks study to hypothesize that they would be results that are qualitatively similar. To Adam’s point, the second component of that which is longer duration including individuals who are overweight and obese and titrating to higher doses again to inform Phase 2 planning, we hope will give us a much broader brush of both the clinical response and the dosing regimen that we may be applying in future studies. So I don’t want to get ahead of ourselves and speculate on the actual numbers. As regards combination trials as you know the regulatory path is somewhat sophisticated, so our near-term plans are to take this forward as a standalone asset to better understand its individual contribution but obviously there’s an opportunity particularly with other approved assets for the management of obesity on the market to assess these in combination in later phase trial so those are considerations but the focus on the near-term is for the monotherapy assessment. And into Adam’s point I think we’ve seen both with higher dose transacted, higher dose semaglutide sort of the broad brush of what happens at the GI side effects as you have more potent or higher exposure to GLP1 agonism and stick with the BI comments as well but the results we have seen and we’ll report in just a few weeks should be consistent with those.
Rajat Sharma: Perfect thank you.
David Kendall: Thanks Rajat.
Operator: [Operator Instructions] There are no further questions at this time and I’d like to turn the call back over to Adam.
Adam Steensberg: Yes I don’t know if you can hear us. I think we lost connection again a little bit but if you can then we would like to thank you all for attending and for your questions today and we will be very much forward to connecting on future announcements and updates. Thank you all. Operator?
Operator: This concludes today’s conference call. You may now disconnect.